Operator: My name is Stephanie and I will be your conference operator today. At this time, I would like to welcome everyone to the Potlatch Second Quarter 2010 Earnings Conference Call featuring Eric Cremers, Vice President of Finance and Chief Financial Officer; and Michael Covey, Chairman, President, and Chief Executive Officer for Potlatch Corporation. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer-session. (Operator Instructions). Thank you. I would now like to turn the call over to Mr. Eric Cremers for opening remarks. Sir, you may proceed.
Eric Cremers: Well, thank you and good morning. Welcome to Potlatch's investor teleconference covering our second quarter 2010 earnings. Before we begin, let me remind you that this call may contain forward-looking statements with regard to our business and operations, please review the warning statements and our press release on the presentation slides and in our filings with the SEC concerning the risks associated with these forward-looking statement. Also please note that segment information, as well as the reconciliation of non-GAAP measures can be found on our website www.potlatchcorp.com as part of the webcast for this call. I would now like to turn the call over to Mike Covey, our Chairman and CEO, who will make some introductory remarks. And then I'll review our second quarter results in more detail, Mike.
Mike Covey: Good morning. Each of our three core businesses performed very well during the quarter and both sequentially and year-over-year improvement in each segment. The unexpected run-up in lumber and plywood pricing not only help our wood product segment results in the second quarter more than we expected but it also boosted log prices and therefore results in our Resource segment improved more than we expected. Also our Real Estate business continues to post solid results in spite weak consumer confidence and this sluggish economy. As we announced this morning, we've taken additional steps to monetize both core and non-strategic timberland Wisconsin and Arkansas, the sale agreement announced this morning with RMK Timberland Group in combination with the option agreement for additional land sales in the fourth quarter is expected to provide approximately $63 million of additional cash in our balance sheet by yearend. This amount, in combination with our current cash balance of approximately $40 million as well as an un-drawn $250 million revolver should provide additional assurance to investors that our current dividend of $0.51 per share per quarter is sustainable. Even in the face of uncertain economic recovery. Moreover, FFO generated in the second quarter, which is our weakest quarter due to seasonal weather conditions that limit harvesting, covered our second quarter dividend and we expect a significant surplus in funds available for distribution in Q3 compared to our normal quarterly dividend of approximately $20 million. Next I would like to elaborate from a minute on our announced timberland sale timberland sale, the transaction is somewhat complex as it not only is a two-phase transaction but it also involves land in two states. So let me provide some additional details by examining the Q3 transaction. Calculating the average price breaker, in other words, taking the $29 million sales price and dividing it by the 41,500 acres included in the sale for an average of $700 an acre is very misleading. Wisconsin and Arkansas are completely different timberland properties with completely different timber markets and values. For example, the Wisconsin acreage is primarily a pulpwood and small log, sawlog market and the land is encumbered by a conservation easement prohibiting development. As such, these factors make the Wisconsin partial which is 71% of the total acreage being sold with far less on a per acre basis than the Arkansas acreage. It's also worthwhile to spend a minute delving into the details of the Arkansas acreage as it is the least strategic of all of our acreage in Arkansas. The Arkansas land being sold in Q3 is less desirable to us both because it is further from markets and is of poor qualities from the rest of our Arkansas acreage. The property is generally on steeper slopes, making logging more difficult and therefore more expensive. Furthermore, the saw quality is below average compared to our other Arkansas acreage and thus has higher replanting cost and has higher tree mortalities thereby reducing competitive value. In summary, we estimate RMK value the Wisconsin easement land at around $400 an acre and the Arkansas land is around $1,500 an acre and both reflect a general 15% or so price decline, from the peak of timberland transaction pricing a few years ago. And although we are now exiting Wisconsin market we entered in 2007, we are doing so with a net cash gain. And while we are very satisfied with the valuations we received in these transactions, we believe that the transaction provides us with enormous amount of financial flexibility going forward. I'll now turn the call over to Eric for these remarks and then we'll take questions.
Eric Cremers: Well, thanks Mike. We reported second quarter of 2010 net earnings from continued operations at $11.8 million or $0.29 per diluted share as can be seen on slide 3 of the slides accompanying this presentation. This compares to net earnings from continued operations of $3.7 million and $0.09 per diluted share in the second quarter of last year and $1.4 million or $0.03 per share in the first quarter of this year. I'd now like to review our second quarter results broken down by segment. Slide 4, highlight the operating income and margin trends and our resource business. As shown on the slide, our resource segment results for the second quarter of 2010 were significantly better than both the first quarter of 2010 as well as the second quarter of 2009. Operating income in the second quarter totaled 15 million well above the 4.5 million we earned in the second quarter of last year as well as the 9.9 million we earned in the first quarter. The primary driver behind the earnings variance from the first quarter was higher pricing while the prior year variance was driven by both price and volume. As a reminder, the second quarter is typically the weakest quarter for our Resource business due to spring break up in the north. So we are very pleased with the strong results from this segment. Slide 5, highlight volume and pricing trends for the Northern Region of our resource business. Sawlog feet volumes were up 148% comparing Q2 of this year to Q2 of last year and down 6% compared to Q1. As a reminder, in the second quarter of last year, we deferred a harvest levels due to the weak demand environment. Sawlog pricing in the Northern Region was very favorable in the second quarter with prices up 23% sequentially and 22% over Q2 of last year. The sharp run up in lumber prices during the first and second quarters was the primary driver behind the strong log pricing performance. Regarding pulpwood in the Northern Region, volume was down 42% compared Q1 but up 33% over the prior year. Pricing for pulpwood in the Northern Region continues to be impacted by lackluster demand due to the closure of two linerboard mills in the Pacific Northwest region. But price is lowered by 5% compared to Q1 and lowered by 4% compared to prior year. Slide 6 highlights volume and pricing trends for resource business in the Southern Region. Both pricing and harvest volume shows strength in the quarter. Sawlog fee volumes in the second quarter increased 16% over the second quarter of 2009, and increase 8% sequentially. Sawlog pricing in the Southern Region was up 13% year-over-year and up 15% sequentially. Pulpwood volume in the Southern Region was flat compared to prior year but it was up 13% compared to Q1 when we experienced very wet weather in the South which made logging very challenging. Pulpwood pricing in the South continued to show strength in Q2 due to the lingering effects of the recent significant wet weather as mills sought to replenish inventories. Next I'd like to review our Real Estate business. As shown on slide 7, our Real Estate segment closed sales totaling 10.5 million during the second quarter with revenues coming from HBU, rural recreational and other non-strategic timberland activity. Slide 7 highlights operating income from our Real Estate segment and as you can see, we have Real Estate operating income of 5.1 million in the quarter. Slide 9 highlights our Real Estate sales by product type. In the second quarter, we sold almost 1,900 acres of HBU property, our strongest performance of HBU sales in over three years. In total, we have 47 Real Estate transactions in the quarter, up from 31 transactions in the first quarter. Slide 10 highlights price trends for our Real Estate business broken down by product type and as you can see HBU pricing was firm, around $2,000 an acre and rural recreational land was inline at around $1,100 an acre. Page 11 highlights operating income trends for our Wood Products business and as you can see our Wood Products business showed continued strength in the second quarter producing operating income of 6 million in Q2 which compares a 5.2 million of operating income in Q1 and $3 million loss in last year's second quarter. This is a strongest quarterly performance we have seen from our Wood Products business in several years. Slide 12 highlights price and volume trends in the lumber part of our Wood Products business and as you can see both prices and volumes are at the strongest level they have been over the past several years. With the recent downturn in Wood Products prices, we expect earnings to slip in the third and fourth quarter but the segment should still be cash flow positive. Returning to slide 3 of the presentation, eliminations and adjustments provided 2.1 million of operating income during the quarter and corporate administration costs including interest expense totaled $13 million for the second quarter. Finally, we booked a $3.4 million tax provision in the quarter due to the strength of earnings in our taxable REIT subsidiary. Note that this is a book entry only and does not represent actual cash taxes paid which is just $200,000. EBITDA totaled $33.1 million in the second quarter versus 7.2 million in last year's second quarter, an 18.8 million in the first quarter. Funds from continuing operations for the second quarter totaled 23 million versus 10.3 million a year ago and 9.1 million in the first quarter. The company paid $0.51per share cash distribution in the quarter for a total of $20.4 million. Next I'd like to make a few comments about our balance sheet and liquidity. First, regarding our leverage ratios, we continued to have a very solid balance sheet with debt to capital of 53.3%, an interest coverage of 4.8 times as defined in our credit agreement. Also as indicated in our earnings release, we executed about 68 million of interest rate swaps at the end of the quarter with the new rate effective at the start of Q3. We expect this swap to save us just under a $1 million of interest expense over the next year. We completed the swap to more closely align our cost structure with business conditions. We finished the quarter with over $40 million of cash and equivalents on our balance sheet, very comparable to the 43 million we had on our balance sheet at the end of the first quarter. And in the second quarter, we paid over $20 million in cash dividends to shareholders. Furthermore, the second quarter seasonally relatively a weak quarter for us. We think that this relatively minor drop in our cash, cash position over our seasonally weak quarter demonstrates that our strategy is working. Markets are gradually recovering and as they do, our cash flow from operations are gradually recovering as well. This is in spite of the very low number of housing starts. With the recently announced timberland sale, we are very well-positioned for the eventual housing recovery whenever that occurs. Finally, I'd like to provide a few comments about our outlook for the remainder of the year. Since Wood Product prices have now rolled over, we expect a more challenging second half of the year in Wood Product segment. We also expect the lower lumber prices to lower our log prices in the second half but we don't expect to give up all of the gains we realize in the first half of the year. Also, the third quarter is typically the strongest for our Resource segment from our harvest volumes standpoint. In total, we expect to harvest at our regional guidance level for the year, which was around 4.2 million tons with around 1.4 million tons occurring in the third quarter. Regarding the outlook for our Real Estate segment, we continued to be optimistic. The aforementioned timberland sale in the third quarter should boost results and assuming the fourth quarter transaction closes as well, Q4 should also be strong including these two sales, we expect 90 to 95,000 acres will be sold over the next two quarters with the book basis of roughly 65% of sales. Stephanie, that concludes our prepared remarks and we will now take questions from call participants.
Operator: (Operators Instruction). Your first question comes from the line of Mike Roxland with Merrill Lynch.
Mike Roxland: Thanks very much, congratulations on the good quarter, guys, on the land sales. Just real quick, on the land sales, if you knew the particular characteristics of the Wisconsin land when you purchased it, why enter into the transaction? Obviously, you must have found something appealing about it originally.
Mike Covey: Well, this is Mike Covey. There were a number of factors. First of all, at the time that we executed the Wisconsin transaction in 2007, we'd also sold the company's hybrid poplar tree farm in Oregon for a net gain of around $50 million, we were looking a light kind of exchange of opportunity to offset that gain that accomplished this. We also bought the Wisconsin property with a plan in mind to sell a good portion of the land that was unencumbered by a conservation easement we've done that, we sold our, I think, almost 18,000 acres in the last 40 months. All that prices well north of a $1,000 an acre. So we feel like our business strategy will look that as fine there.
Mike Roxland: Glad to know. Any particular reasons why you're doing the option in 4Q, why don't you just sell the entire acreage together right away alongside the first piece?
Eric Cremers: Mike, it's Eric. It has to do with the timing of RMK's ability to raise the funds. Between the two transactions, the one that we're entering into in Q3 is the one that's most advantages to us. So they have verbal commitments for that capital for the fourth quarter but it hasn't been formalized yet but we expect that them to raise that capital and get the deal close.
Mike Roxland: Got you. So basically they haven't raised the capital and any sense on when that capital raise is going to take place or they're keeping the or they're giving a weekly updates or what's occurring there?
Eric Cremers: What I can tell you is that you have -- you're making progress on it and we expect those commitments to get finalize by the end of August.
Mike Covey: Yes, I guess to further, Mike, the first stage of the transaction includes the encumbered land in Wisconsin which is arguably the least desirable so I think they're highly motivated to complete the transaction. We should exercise that option by the end of August.
Mike Roxland: Okay, great and still last question. What has happened to your operating posture in lumber, now the prices have come off a bit, further call if I recall correctly on the 1Q call, you mentioned that you were operating on the normal two or three shift depending on the facility, have you put that back in business given that lumber prices have come down?
Mike Covey: No, we've not. We continue to run basically typically to a three shift configuration depending on this facility where our experience has been that our downtime results and large increase in costs, fixed costs are very hard to eliminate in a mill. We are better off to run and sell the product which we've been able to do. We're not building inventories.
Mike Roxland: Got you. Thanks very much. Good luck in the quarter.
Mike Covey: Thanks.
Operator: Your next question comes from the line of Gail Glazerman with UBS.
Gail Glazerman: Mike, did I hear you right that the Wisconsin land in the second phase of the sale is non-encumbered or --?
Mike Covey: Yes, the first phase of Wisconsin includes all the land encumbered by a by a conservation easement. The second phase includes the land that is unencumbered. About half the land in Wisconsin was fit in each category originally.
Gail Glazerman: Okay. And the land in Arkansas, is that anywhere near the land that you sold to RMK last year?
Mike Covey: It is. It's in the same I don't know if it's exactly the same county, and the county I think just north of the property we sold RMK last year, this is the furthest north, property farthest north in southern Arkansas that we hold and that would be . It would. -- that would be a really directly north of the Prescott, Arkansas sawmill that we closed in 2008.
Gail Glazerman: Okay. And switching to operations a little bit, can you talk about some of the log price trends that you're seeing as they we move through the quarter? For instance, northern sawlog is that at least starting to stabilize? Are you seeing any sign of stabilization or acceleration in the price trends as you move from the second quarter into the third quarter?
Eric Cremers: Again, this is Eric. Our business if you really break it down into four different buckets, Sawlog and North-South and Pulpwood and North and South and we showed real strength in the second quarter, we expect that strength in sawlogs to continue a little bit into the third quarter. We've got pretty firm pricing and volume commitments in the third quarter and we can see that prices are likely to rise a little bit in the North, part of that is driven by a mix issue. If you think about it we can't get out there and harvest aggressively in Idaho in the second quarter so as you move into the third quarter with a really strong harvest schedule, the pricing impact is felt in the third quarter with those higher Idaho volumes, relative to Lake State which are lesser valued on a per ton basis. So we are seeing a little bit of strength going into the third quarter of Northern Sawlogs, we do think we'll give a little bit about that as we get into the fourth quarter. If we go into the South, it's going to be a little bit different there, we'll feel that the pricing decline in the third quarter in the South. We expect pricing to come off, may be in the 30% to 40 kind of range by the end of the year for sawlogs but that's about it.
Gail Glazerman: And pulpwood pricing, anything going on there?
Eric Cremers: I'm sorry 30 to 40% of the recent price increase. Pulpwood is going to be relatively flat in the North and it will soften a little bit in South.
Gail Glazerman: Okay, and just one last question. Can you give an update on what you are seeing or if you have changed your expectations at all for energy demand, given, I guess, the recent stalling on -- in Congress on any renewable energy legislation?
Mike Covey: Well, I don't think we have never had a real optimistic outlook that we were going to see facilities build there that would result in opportunities for us to take low valued pulp -- or low valued slash or residual materials to market. I think it's very dependent on having the facility of located approximate to timberlands. In most operating areas, we just don't expect that, so we've not had an outlook that was going to contribute cash flow in the near term the next one to three years. And we still remain optimistic that biomass makes a lot sense definitions, energy policy will be resolve in a sensible way but we don't see this as a pot of gold at the end of a rainbow.
Gail Glazerman: Okay, thank you.
Operator: Your next question comes from the line of Chip Dillon with Credit Suisse.
Chip Dillon: Hey, guys, Eric and Michael. I missed this number. You gave the full year harvest expectation. What did you say it was for the third quarter, and can you sort of just reiterate what you think the mix for the year is going to be between sawlogs and pulpwood?
Eric Cremers: Yes, what I said was that we expect the harvest right around 4.2 million tons for the year. It's about 1.4 million coming in the third quarter and it leaves over around a 1 million in the fourth quarter. I'm sorry go ahead.
Chip Dillon: Go ahead, I'm sorry. On the mix?
Eric Cremers: While if you see on the mix, what we are seeing is a little bit of a skew more towards sawlogs in the North because of the weak pulpwood market. So, you could expect roughly 80 to 85% of the harvest volume in the North to be sawlogs and roughly 60% in the South.
Chip Dillon: Got you. Okay. And then back on the land sale, you gave this mix of 71% Wisconsin. Was that on the entire 86,000, 87,000 acres, or just on the first half?
Eric Cremers: Well, of the entire -- roughly 88,000 acres, roughly 59,000 is Wisconsin.
Chip Dillon: Right. And when you said -- so when you gave that split that was for both combined -- I guess, doing the math here, not just for the first half. So, where you gave -- and you mentioned $400 an acre in Wisconsin. I would imagine -- that's my question, that was only related to the first half because that's the encumbered acreage, is that right?
Eric Cremers: Yes, that's correct.
Mike Covey: That's correct.
Chip Dillon: Okay. And, I guess that must mean, I'm guessing that you are looking at something that's two or three times that for the unencumbered, I'm guessing. Because I know -- I guess there was some land sold last year, I know one of your competitors sold some, and it was reported like $850 an acre, then I know -- I guess, you guys bought the Tomahawk land for $800; and I guess, that was at like kind of an exchange a few years ago. So would we assume something closer to 1,000 on the unencumbered?
Eric Cremers: No. no, you would not. It's more than the first phase for Wisconsin -- I mean we're guessing right, this is all RMK's math, not ours. If we had to guess it's probably in the 450 to 500 an acre range for the second parcel in Wisconsin. The thing to remember, Chip is that, we took a lot of cash off that property over the time that we've owned it. And I can just give you, we've sold almost $20 million worth of acreage since we've owned it, we're taking $6 million off in terms of stumpage but obviously, we get the proceeds from this transaction and then our LKE, the Like Kind Exchange that we performed with the Boardman sale, that saved us over $15 million in cash taxes.
Chip Dillon: Got you. Of course, yes.
Eric Cremers: A lot would motivated that move in Wisconsin was LKE.
Chip Dillon: Okay.
Mike Covey: I'd also say you have to be careful comparing one property within the same state to another, there's a -- some of our competitors property has a very nice mix of quality Northern hardwood sawlogs on it. Our property is more represented by aspen, some spruce, and hardwood sawlogs but the timber resource on the Wisconsin property we own is not as rich as some ownerships in Wisconsin.
Chip Dillon: Okay.
Eric Cremers: And just to elaborate a little bit, Chip, the average, since we've owned it cash flow that we've got -- gotten off that land, on the Resource side, it's been about $1 million or $1.5 million a year.
Chip Dillon: Got you. Okay. And when you look at the second phase, and I know you mentioned that RMK is yet to raise that money, is that money that is actually, therefore, coming into a new partnership, or does it represent a call of -- from an existing partnership where I know sometimes the investors have to put up money over time?
Mike Covey: No, I can't speak to RMKs investor and how they intend to fund it. We just don't it, right now.
Chip Dillon: Okay. And then I guess, lastly is, when you look at your -- I know it's a little early days now, but I -- if you could just reiterate what you sort of think your normalized harvest -- let's get these lands sold, let's say this year. What would you say your normalized harvest level -- sustained level would be across the business in terms of tons starting next year? If, hypothetically, the demand was something even remotely close to normal?
Mike Covey: We've said for sometime for the last several quarters prior to this recent announcement that the company have the capacity to harvest approximately 5 to 5.1 million tons on a longer term basis in a more robust markets. We deferred a harvest all the way down to 3.8 million tons. We've now inched it up a little bit to 4.2 this year on a little bit better pricing. But our expectation after this land sale is that a long-term sustainable harvest rate is somewhere between maybe 4.6 to 4.8 million tons in that range, we have at least to find that yet. But we're obviously going to have to come off to 5.1 million target that we had with this land sales of almost 100,000 acres.
Chip Dillon: Okay. That's very helpful. Thanks, guys.
Mike Covey: Thank you.
Operator: (Operators Instruction). Your next question comes from the line of Steve Chercover - D.A. Davidson.
Steve Chercover: Thank you for the color on the timberland sales thus far. I was wondering, do you have any more chances to do one of those stumpage sales like you did last year?
Mike Covey: Well, Steve, the opportunity certainly exist was some of our ownership. We did 50,000 acres of trees -- of plantations that were between age basically, one and ten. In Arkansas we have more land like that in Arkansas, we certainly have a lot of land like that in the other states, in Minnesota and in Idaho but the species makes it more diverse so it makes it more challenging for an investor to get their arms around but we felt very good about that transaction and we'd be happy to do another one similar to it.
Steve Chercover: So, I mean, obviously it's the NPV, the maximum NPV is what will dictate whether you do a stumpage sale or a free and clear sale. But would we look at the age class, like the age of the plantation as being the criterion, not having an NPV to determine how you approach these things?
Mike Covey: Well, I think for the particular fund that bought, and the team over bought that, those cutting rates from our stumpage last year, they specifically had a fund to rise and that they wanted to target trees that were 10 years old and younger. So a different investor group may have totally different criteria. So I think it all depends where the investors' objectives are.
Steve Chercover: And then in the lumber business, was your mix primarily just dimension as opposed to cedar?
Mike Covey: It was, we had very little well, we had a -- since the spin-off of Clearwater Paper and the sawmill in Lewiston, Idaho, and to Clearwater, we have relatively small mix of cedar lumber that we produced, really just in one facility in St. Maries, Idaho.
Steve Chercover: Okay. So that's -- just kind of the new normal. And so you alluded -- it will come as no surprise that profitability is going to diminish, but it will be more than -- it will be cash flow positive. You expect it will be earnings positive still, or are we going to see that -- the entire $6 million kind of evaporate?
Eric Cremers: Steve, I think you'll see it hovered around kind of breakeven may be slightly positive I mean obviously, it's a volatile business segment and things can change in a dime but our view is that the strong earnings we saw on the first half are now likely to happen in the second half but we don't if the bottom is going to fall out, either. Pricing has come down but it seems to have hit the floor for lumber.
Mike Covey: That's why we have one specialty plywood plant that competes in an industrial niche market that I said terrific performance and we expect that to continue, it generate significant earnings as well as cash flow.
Steve Chercover: Great. Okay. Thanks. Good luck in the quarter.
Mike Covey: Thank you, Steve.
Operator: (Operators Instruction). We'll pause for just a moment to compile the roster. At this time there are no additional question in queue.
Mike Covey: Thank you and thanks for joining us this morning and I look forward to talking to you in the next quarter.
Operator: Thank you, this concludes today's conference call. You may now disconnect.